Operator: Good afternoon. My name is Kristin and I will be your conference operator today. At this time I’d like to welcome everyone to the fourth quarter and fiscal year end earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Mr. Mihaylo, you may begin your conference.
Steve Mihaylo: Good afternoon everyone. This is Steve Mihaylo I’d like to welcome you to our fourth quarter and year end fiscal 2009 conference call. Before I do go over some of the numbers with you, I’d like to introduce you to the folks that are on the call here with me. I’ve got Clint Sanderson, President of our StoresOnline and Crexendo Divisions. I have Dave Krietzberg, our Chief Administrative Officer. We have Jon Ericsson, our Chief Financial Officer and Jeff Korn, our General Counsel as well we have in the room with us Jeff Jarvie our Controller. Before we get started and before I make some brief comments. I’d like Jeff Korn to read the Safe Harbor language.
Jeff Korn: Thank you, Steve. I want to take this opportunity to remind listeners that this call will contain forward-looking statements. Forward-looking statements include, but are not limited to words like believe, expect, anticipate, estimate, will, and other similar statements of expectation identifying forward-looking statements. Investors should be aware that any forward-looking statements are based on assumptions and are subject to risks and uncertainties that could cause actual results to differ materially from those discussed here today. These risk factors are explained in detail in the company’s filings with the Securities and Exchange Commission including the Form 10-K for fiscal year ended June 30, 2009. iMergent does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. I’d now like to turn the call back to Steve for some comments.
Steve Mihaylo: Thank you, Jeff. What I’d like to do is give the view from about 30,000 feet, then I’m going to turn it over to Jon Erickson to give you the granularity on the numbers for the quarter and then over to Clint Sanderson, who will talk about some of our initiatives, Dave Krietzberg and then Jeff Korn to go over any Legal Issues. After that we’ll turn it back over to Kristin for questions-and-answers. Revenues for the fourth quarter of fiscal 2009 were $19.4 million compared to $29.1 million for the fourth quarter of fiscal 2008. For the three months ended June 30, 2009, net income was $8.5 million or $0.74 per diluted share and included in that is $5.9 million related to a settlement with the IRS that’s a positive $5.9 million. This compares to net income of $554,000 or $0.05 a share in the previous year, a brief look at our balance sheet. Our balance sheet remains very strong we have cash of $20.5 million that’s unrestricted cash. We have restricted cash of $1.8 million for a total of $22.3 million and virtually no debt. At this time, I’d like to turn it over to Jon Erickson to go through the numbers in more granularity.
Jon Erickson: Thank you, Steve. From an operating standpoint income from operations for the fourth quarter of fiscal 2009 was $1.1 million compared to a loss from operations of $438,000 in the same quarter last year. Other income was $1.6 million for the quarter compared to $2.2 million of other income in the same quarter last year a lot of these are related to cost savings. Cost of products and other revenue decreased 26% to $5.5 million for the quarter compared to $7.4 million for the same quarter last year. Selling and marketing expenses decreased 48% to $8.5 million for the quarter compared to $16.1 million for the same quarter last year. This reduction is due primarily to improvements made in our data modeling allowed us to better identify and prospect potential buyers as well as reductions in our cost per mail piece. Total operating expenses decreased 38% to $18.3 million for the quarter compared to $29.6 million for the same quarter last year. During the three months ended June 30, 2009, we held 177 workshops with no workshops held internationally, compared to 222 workshops including 65 internationally in the same quarter last year. As Steve mentioned, revenues for the fourth quarter of fiscal 2009 were $19.4 million compared to $29.1 million for the fourth quarter of fiscal 2008. Our revenues were negatively impacted by the lower number of workshops, a decrease in the percentage of customers paying cash at our workshops versus financing their purchase, as well as the percentage of customers making a purchase at the events. During the fourth quarter of 2009, 41% of customers paid cash versus 50% during the fourth quarter of 2008. 24% of the buying units made a purchase at the workshops during the current quarter compared to 31% in the prior year quarter. During the fourth quarter of fiscal 2009, the average number of buying units attending our workshops was the same as the prior year quarter at 78 buying units per event. The average workshop purchase price decreased to $5245 during the current quarter compared to $5490 in the prior year quarter. For the fiscal year ended June 30, 2009 we conducted 783 workshops, including 81 internationally compared to 1028 workshops, including 184 internationally during the fiscal year ended June 30, 2008. Revenues for the 12 months ended June 30, 2009 were $94.4 million, compared to $128 million for the same period last year. Total operating expenses were $102.3 million compared to $131.3 million for the same period last year. For the fiscal year ended June 30, 2009 net loss was $7.5 million or $0.60 per common share, which included a $5.7 million income tax provision related to the valuation allowance associated with the IRS settlement. Net income for the fiscal year ended June 30, 2008 was $3.1 million or $0.26 per diluted common share. Now for a review of our cash flows and balance sheet. Cash used for operating activities during the fourth quarter of fiscal 2009 was $826,000, which included a $5.6 million deposit payment made to the IRS in April 2009 related to the audit compared to cash provided by operating activities of $3.4 million during the same quarter last year. For the fiscal year ended June 30, 2009, cash used in operating activities was $7 million compared to cash provided by operating activities of $10.4 million during the previous fiscal year. As of June 30, 2009, cash and cash equivalents were $20.5 million, working capital was $16.3 million and working capital excluding deferred revenue was $40 million. Total current and long term net trade receivables were $30.8 million at June 30, 2009. As mentioned earlier, during August 2009, we were able to reach a settlement with the IRS appeals office related to the audit of our tax returns for the years ended June 30, 2005, 2006 and 2007. As disclosed in previous quarters, the IRS field agents challenged three items related to these returns. The first item related to our ability to deduct 100% of meals served to attendees at both our preview and workshop training sessions. The IRS field agents argued that these meals were subject to a 50% limitation based upon the provisions of Section 274 of the Internal Revenue Code. Our position is that these meals are exempt from Section 274 limitations because they are offered as a diminimis fringe benefit. The IRS appeals officer agreed with our position and ruled that we can deduct 100% of all meals served to our attendees at both preview and workshop events. The second item related to limitations on our ability to utilize the net operating loss carryforwards generated prior to our ownership change in April 2002, which are imposed by Section 382 of the Internal Revenue Code. Based upon the valuation of the company on the date of the ownership change, Section 382 limits our ability to utilize NOLs to $461,000 per year. Section 382 also states that under certain circumstances this limitation maybe increased by recognized built-in gains that occurred during the five year period after the ownership change. We had previously determined we had sufficient recognized built-in gains to offset all income generated through fiscal 2007. As a result of the settlement with the appeals officer, we agreed that we did not have sufficient recognized built-in gains to offset all income generated through fiscal 2007, and that we were subject to the $461,000 limitation per year. As a result, we’ve recorded a valuation allowance of $5,124,000 during fiscal 2009, as we have determined that it’s more likely than not, that approximately $14.6 million in NOL carryforwards will expire unutilized. The third item related to the IRS field agents’ attempt to reopen our income tax years ended June 30, 2003 and 2004, both of which are closed for an examination. The IRS field agents argued that under Section 481(a), they could do a change in method of accounting with respect to our recognized built-in gains discussed earlier and reopen those years. The IRS Appeals Officer agreed with our position and found no merit to this argument. As a result of the IRS settlement, in addition to the valuation allowance of $5.1 million, we’d anticipate a total cash outlay of approximately $3.2 million, total for the years ended June 30, 2005, 2006, 2007 and 2008. As mentioned earlier, in April 2009, we made a deposit of approximately $5.6 million related to this settlement as such we anticipate a refund of approximately $2.4 million in the first quarter of fiscal 2010. I’ll now turn the time over to Clint.
Clint Sanderson: Great, thanks Jon. In our StoresOnline division, we continued to execute on our plan to generate profitable revenue by improving our business model and controlling our costs. To that end, we’ve made changes in our marketing and sales models to improve conversion rates at our events and to better support our customers. On the marketing front, we’ve changed and continue to make changes to our data models to attract more qualified buyers to our live events. In addition to attracting more qualified buyers, these changes have resulted in lower advertising expenses. So we’re encouraged by the results we’re seeing from these initiatives and excited with the progress that we’ve made just in the past quarter. We’ve also changed and continue to make improvements to our sales and support models. Specifically, we’ve implemented programs that create more personal touch points from our sales consultants and our support agents with our customers both before and after the sale. We expect these initiatives to result in an improved experience for our customers and lower customer complaints. We’re confident, that the investment we’re making in these changes will improve our business and results in more sustainable long term growth for StoresOnline. As we continue to grow and add more customers to our eCommerce platform, we’re also excited by the potential that we’ve seen in the Crexendo platform and the demand that we’re seeing for the Crexendo products that we’ve developed and that we’re offering. I’d like to now introduce David Krietzberg, our new Chief Administrative Officer to discuss our Crexendo initiatives. David.
Dave Krietzberg: Thank you, Clint. I’m excited to officially be part of the iMergent team, just a quick background comment. I’ve been associated with iMergent as a Consultant since the beginning of the year, working with the management team to improve their business processes, facilitate cost saving objectives and help drive new business initiatives. I’ve been in the telecom industry for the past 25 years, and I’ve worked with Steve in a CFO capacity for all of Inter-Tel’s operating subsidiaries involved in executing strategic, financial and tactical business initiatives. As Senior VP and Chief Administrative Officer, one of my primary focuses will be in establishing new business opportunities. For today, I’d like to discuss the Crexendo Business Solutions. Crexendo will have two product lines: One offering eCommerce products and services and the other, a network services group that will so manage network services and hosted telecom. Crexendo will serve a different market segment than StoresOnline. While StoresOnline markets eCommerce solutions to entrepreneurs looking for a do-it-yourself option. Crexendo model is focused on businesses looking for a trusted partner. We market a robust eCommerce software platform, which can be offered either Software as a Service, or SaaS, or a license model. We have solutions with a complete set of applications, such as business analytics, keyword analysis, shopping carts, merchant account transaction processing, PCI certified, integrated SKU management and a whole lot more. We offer comprehensive SEO/SEM service packages to help manage customers’ total Internet marketing programs from web design to link building to a suite of services from hosting to training and education. This is a fragmented industry with no large or dominant market player offering as many services. We will market through a network of Value-Added Resellers, VARs, software application partners and our own online lead generation activities. Today we have almost 20 VARs onboard with twice as many contracts pending. Each of these VARs has a loyal customer base of small and medium-sized businesses with a strong demand for Internet services. We are educating and training their sales force in order to build our sales pipeline. We offer customized solutions towards improving website traffic with results focused on improving sales conversion or lead generation activities. Our revenue conversion cycle, may take up to three quarters from the time we sign up a VAR, provide our services to their business, train their sales team to prospect leads, qualify opportunities and then fulfill a phased implementation completed contract. Our Crexendo network services division is in a development stage with our first general release of product scheduled for the first half of 2010. We are in the process of developing a suite of business services that will offer feature rich communications services to small and medium sized businesses, eliminating to need for traditional telecommunications services and business phone systems. We expect to eventually have several distribution channels for telecom. Our traditional StoresOnline channel, a direct online model and a VAR channel either through a referral agency program or wholesale program. Revenue will be recognized on a monthly and annuity business model, so the revenue ramp will begin in the latter half of calendar 2010. In summary, we can leverage industry and customer practices, increase predictability of their internet initiatives and decrease implementation risks by providing scalable solutions with minimal lead time. Our value proposition is to enable small and medium sized business owners to create an eCommerce presence on the web. At this point, I’d like to turn it over to Jeff Korn.
Jeff Korn: Thank you, David. I wanted to briefly discuss some outstanding legal issues and improvements I believe we’ve made. As those of you who have reviewed our 10-K noted, the legal section is the shortest it’s been in some time. This is due to a variety of factors and some very hard work by myself and our entire team. As was noted in an earlier press release, we recently resolved a longstanding review of our business practices by the State of Washington. This matter was resolved like most of our legal settlements, by numerous meetings with the state and by my providing detailed information on what we do and how we do it. With that settlement, there is only one matter that would be ACCC in Australia, which remains open where there is litigation by a government agency questioning the manner in which we do business; in that matter, we continue to actively provide information to the ACCC and I’m hopeful, we maybe able to have mediation of outstanding issues. We also, however remain ready to proceed to trial, if that is necessary. We continue to aggressively attempt to resolve all legacy complaints. I believe we are able to do that due to the extensive commitment of our staff to make improvements to our presentations and our customer service. Steve has made sure that everyone at the company knows that we are to do everything we can to work resolve any complaints to work with customers as well as regulators to see that every issue is affirmatively addressed. We continue to aggressively work to make our presentations transparent and to improve our marketing, all of which I believe have made substantial improvements to the quality of our sales model. We have made substantial changes in the way our organization interacts and particularly how my staff and the sales team work, there is a team effort, people are actively involved in making sure that our customers understand what they are purchasing and that we are on top of regulatory issues. I attend our presentations often, and I am personally very impressed with our improvements and believe we will continue to improve. With that overview, I’d like to turn the call back to Steve for some closing comments.
Steve Mihaylo: Thank you, Jeff. One of the things I’m particularly proud of since coming on Board here is that we’ve really enhanced the customer experience and we’ve driven down the complaint level. Now, that comes at a price, part of the reduction in sales over the quarter was the fact that we’ve been better qualifying our customers. Obviously, the economy also played into it and fewer workshop teams played into it, but overall we are able to generate a profit on much lower sales, whereas in the past our quarterly results were more of a sales effort than they were taking care of business on the back end of the process. Having said that, what I’d like to do at this point in time is turn this over to Kristin for questions-and-answers. If there’s any question’s Kristin, can you handle that please?
Operator: (Operator instructions) Your first question comes from Neal Goldman - Goldman Capital Management.
Neal Goldman - Goldman Capital Management: First, how many teams are there currently doing the workshops?
Steve Mihaylo: We currently have four teams.
Neal Goldman - Goldman Capital Management: The pricing was down somewhat. If you’re having better people show up, but you’re closing less of them at the workshops?
Steve Mihaylo: Let me turn that over to Clint, he is more familiar. The broad answer is yes, we’re closing slightly fewer, but we’ve seen some improvements in the last month or two. Go ahead, Clint.
Clint Sanderson: The decrease in sales rate from this year to last year, one of the biggest factors in that is we’re testing different approaches in our business model. For example, Steve has mentioned in past calls our direct to workshop model, where our attendees don’t go through a preview before they go to the workshop and so our workshop close rate is actually on those events, lower than what we would typically see at our preview. So that has an impact and is playing into the lower conversion rate that you’re seeing.
Steve Mihaylo: It also drives our costs down, though when we have a direct to workshop model versus the preview then the workshop. So there’s a quid pro quo are an offset here.
Neal Goldman - Goldman Capital Management: In terms of the search, how you’re finding the more qualified lead, what’s different from a year ago versus now?
Steve Mihaylo: It has to do with the way we format our data, the information that we use for either direct mail or e-mail blasts or lending pages in that sort of thing. Clint, do you want to give any more granularities to that answer?
Clint Sanderson: Yes. Specifically, we’re making changes in our data model and have been able to make a lot of progress and when modeling our data, being able to be better at predicting the types of buyers that we’re mailing to before we actually send the mail and we’re continuing to perfect that process, but that’s generally what we’ve been able to do, when we talk about getting more qualified buyers.
Neal Goldman - Goldman Capital Management: On the Crexendo side, on the network services side, is that similar to what you were doing at Inter-Tel, Steve?
Steve Mihaylo: Yes it is, but you have to remember, there’s actually three parts to Crexendo. We have all of the tools that we offer through the StoresOnline division, but as Dave Krietzberg said, the StoresOnline is more of the Home Depot approach, you buy it. We’ll assist you in implementing it. On the Crexendo side, we do the total implementation from the very first step. It’s for bigger enterprises that want to subcontract, if you will. Those services out to a more qualified company than trying to do it in house, that’s one part of it. Then the second part is hosted telecom. Hosted telecom is providing telephone service to businesses and the third part is network services, and the network services are required in order to give a good customer experience on the hosted telecom side, both of which lead to recurring revenue models. In fact, all three of those lead to recurring revenue models. The Crexendo piece leads to a recurring revenue model for services like SEO, SEM, CRO, link building and so on, and Pay-Per-Click campaigns. On the telecom side, it’s all hosted, it’s all recurring revenue and on the network services side, it’s all recurring revenue. So it will take the lumpiness out of our quarterly reporting, once we start to get traction in those areas.
Neal Goldman - Goldman Capital Management: What is your sense of when you’re going to start getting some traction on this?
Steve Mihaylo: We’re already starting to get a small amount of traction on the Crexendo side, which is the web services that we offer. We should have a little tiny trickle of revenue this quarter and start seeing a little bit more in the December quarter. We think we’ll have all of our fulfillment processes in place and up and running certainly by the first fiscal quarter, I should say the first calendar quarter, the March quarter of next year for that. On the hosted telecom side, we’re projecting in the first half of 2010, which could be anywhere as from February to as late as some time in June before we start seeing revenue there. There’s quite a bit of software that we have to write in order to get those services up and running.
Neal Goldman - Goldman Capital Management: The average company that Crexendo is marketed to, how many employees do they have typically?
Steve Mihaylo: There is no typical size. We’ve noticed from the customer bases of our VARs, that it could run anywhere from 10, 20 employees, all the way up to several thousand. The opportunities are quite large, but we’re finding that you have to lead with services side of it; the search engine optimization, search engine marketing, the link building those sorts of things in order to help generate more revenue on their websites. Once we’ve gained their confidence, we feel that they’ll probably turn over the whole process to us, including revamping their websites. So it’s almost the opposite of the way we do it at StoresOnline, where we sell them the website and then we sell them services at the back end. In this case, we sell them the services first, and we’re hopeful that the website sales will come later, but frankly, the continuing services are probably a bigger chunk of the revenue in Crexendo, anyway.
Neal Goldman - Goldman Capital Management: I would assume, the 10 to 20 is your meet, but when you start going into much more than that, aren’t you competing as much bigger as software companies?
Steve Mihaylo: Yes and no, Neal. One of the things that is true of this industry. It’s very fragmented right now and most of it’s being done by small operators that have sales of just $1 million or $2 million a year. It’s basically one and two man operations, where they go in and they build a website for somebody, and it takes them three or four months to do it. Then they get another customer, and so on. In our case, our software is very robust, it can be leveraged to very large operations with hundreds of pages of content in the website and we can also train their people to add content later on in the process without having to write it in Java or XTML or HTML software code. We can build a reasonable size website in no more than a day or so compared to months, if you have a contractor come in and do you a one-off. So it’s much more scalable.
Neal Goldman - Goldman Capital Management: On the cash side, exceeding the settlement, marquee, I mean, positive cash flow generation in that fourth quarter?
Steve Mihaylo: I’m going to let Jon Erickson handle that one.
Jon Erickson: That’s correct, Neal. We used $876,000 in the fourth quarter, but that included a payment of $5.6 million to the IRS, which impacted cash from operations.
Neal Goldman - Goldman Capital Management: So the cash was how much exceeding the settlement, what was the cash generation?
Jon Erickson: We used $876,000 including $5.6 million, so the $5.6 million less $876,000.
Neal Goldman - Goldman Capital Management: Okay, so it was $4 million...
Jon Erickson: $4.7 million, approximately.
Steve Mihaylo: I was just going to say, as John pointed out, we expect to see cash coming back from the IRS probably this quarter or next, so…
Neal Goldman - Goldman Capital Management: That was about $2 million from the…
Steve Mihaylo: $2.4 million, that’s correct.
Neal Goldman - Goldman Capital Management: So we’ll be sitting with, between the cash and the restricted cash and then the settlement like $24 million, $25 million?
Steve Mihaylo: That’s correct.
Neal Goldman - Goldman Capital Management: Okay, so it’s like more than $2 a share, at this point?
Steve Mihaylo: That’s correct.
Neal Goldman - Goldman Capital Management: Would you be looking at acquisitions to fit into the Crexendo thing or do you think, you’re just going to do it organically?
Steve Mihaylo: When you run a business, that’s always one of the things you look at is acquisitions. We have historically, in running my previous company we looked at acquisitions on a constant basis. We intend to do the same here. Now, whether or not we make any acquisition that’s another story, you have to look at a lot of prospects before you choose one.
Neal Goldman - Goldman Capital Management: The one outstanding issue in Australia, we did no business when was the last time we we’re in Australia?
Jeff Korn: I’m not sure of the specific dates off the top of my head, but there is nothing in Australia that prevents us from transacting business. We have strategic business decision, had not been doing workshops internationally this year, which is why we were not in Australia. It had nothing to do relate to the lawsuit with the ACCC.
Neal Goldman - Goldman Capital Management: So in general, going forward, you’re not focused on doing business internationally at this point?
Steve Mihaylo: We’ve been doing business in Canada over the last several months. So we’re venturing back into some of these markets, but we wanted to make sure our processes and the customer service and support were there before we did that.
Neal Goldman - Goldman Capital Management: In terms of the Australia thing have you set up; I’m not going to ask you the amount obviously, it would affect the settlement. Have you set up any sort of reserve against that?
Jeff Korn: We have taken reserves for an expected settlement amount.
Neal Goldman - Goldman Capital Management: So basically, we’re as clean as we’ve been since the both should started years ago?
Steve Mihaylo: We had somewhere around a dozen complaints when I came in here and we’re down to one and we haven’t had any new ones and we don’t expect any new ones. Everyone is knocking on wood around the table.
Neal Goldman - Goldman Capital Management: I hope the table is not metal.
Steve Mihaylo: No, it’s not metal.
Operator: Your next question comes from Robyn Lockner - Private Investor.
Robyn Lockner - Private Investor: I think the new iMergent is an exciting story, however the number of stocks that are covered by Wall Street analysts has been declining, potentially reducing the information efficiency of the market and given the low current trading volume of iMergent, that may result in it being excluded from a lot of the computer based scanning done by investors. Given that, how can the iMergent story become better known as the story unfolds going forward?
Steve Mihaylo: A couple of things we were just added, which Russell Index were we added to or was it S&P?
Robyn Lockner - Private Investor: I think it was the Russell.
Steve Mihaylo: It was the Russell 3000, so that will help our visibility, but we’re also stepping up our activity with analysts and money managers we were at the Monterey Conference in May. We are going to be in New York on September 29, just a few short weeks from now. We’ll be again at the AeA conference in November down in San Diego. Our goal is to have a minimum of four meetings a year and perhaps even five or six with money managers and analysts and we’re working in that regard as we speak here.
Robyn Lockner – Private Investor: Then one additional question, how should we be thinking about the Crexendo segment financials? What I mean is I’m assuming that, right now, because it’s in start up phase and for the next several quarters, Crexendo is probably actually a drag on earnings.
Steve Mihaylo: That’s correct. That’s in our 10-K.
Robyn Lockner – Private Investor: When will it become a contributor to earnings, is that probably a middle to second half of 2010?
Steve Mihaylo: I would think so yes, of calendar 2010.
Operator: (Operator instructions) Your next question comes from Jeff Bass - Private Investor
Jeff Bash - Private Investor: On the last conference call you said that you thought Crexendo revenue would eclipse StoresOnline revenue in the next couple of years, and certainly no more than three to four years. I think that was almost a direct quote. With four months further into the plan since then, do you still feel comfortable with that view?
Steve Mihaylo: Well, you’re asking me a somewhat loaded question here, but I’m comfortable that we’re going to have significant revenues and profits from Crexendo going forward. When that occurs it’s a little bit harder to predict and I based my comment during the last quarterly conference call on the reception we were getting from potential VARs. What we’ve found as we’ve gone deeper into this that the support levels and the fulfillment requirements are a lot greater than we thought. Now, we’re putting those processes in place as we speak. We’re writing software to automate as much of it to drive our costs down, but the cycle is taking a little bit longer than anticipated to get it up and running. Once we get it up and running, it’s more or less a cookie cutter type of situation. The other thing that we are finding is that our VARs in general are all over the map. Some of them want to sit back and just watch the money roll in, others are very proactive and they are supplying us with a lot of leads and a lot of opportunities. So it’s going to be important to make sure that we have the proper training with the VARs. So that their sales force is excited and the processes are in place and everyone is reading off the same sheet of music so to speak, but I’m still very confident that we’re going to see significant sales and earnings in the out years. Whether or not it eclipses the StoresOnline business in the next three or four years is dependent on a lot of things. A robust economy, it’s also dependent on how well we do in StoresOnline. If StoresOnline grows at a quicker pace, it will be hard to eclipse it. If the growth rate there is less, it might be possible to eclipse it in the next three or four years.
Jeff Bash - Private Investor: My second question is you went back into California in the June quarter. How has progress been there and in general, how do you see short term sales growth prospects?
Steve Mihaylo: Short term sales prospects, as you know our September quarter and our December quarter historically have been the worst quarters for the company. July is almost a non-month because everyone is on vacation, and then December is the same way with Christmas, Hanukkah and New Year’s holidays and also Thanksgiving in that period. Our strongest quarter is the June quarter. The next strongest is the March quarter. Specifically California, one of the things that we learned is, it’s very important that we make sure that the data there that we use for our marketing is very clean, because you can wind up with a lot of immigrant type people in those markets and the problem there is, these people don’t speak English and so we’ve had to even refine our data more. The other issue of course is the fact that we have a very, very bad economy in California. There’s well over 10% unemployment. The state’s budget is a mess. They’re cutting back everywhere and that’s impacted our ability to sell. Having said that, we still feel confident that California is going to be a contributor going forward and of course, we’ve got additional requirements that we have to meet with the SAMP Act and some of the other requirements that are settlement dictated, but overall I’m optimistic that California is going to be a good market going forward.
Operator: Your next question comes from [Stanley Essa - Unidentified Company]
Stanley Essa - Unidentified Company: I missed it a little earlier. Could I just get the EPS excluding the IRS settlement?
Steve Mihaylo: I believe it was $0.26. Is that correct? Excluding the IRS settlement, what was the EPS, Jon?
Jon Erickson: It was $0.25.
Operator: (Operator Instructions) Your final question comes from Neal Goldman - Goldman Capital Management.
Neal Goldman - Goldman Capital Management: Just another easy follow-up for you Steve, I know you have the carryforward of $400,000 some what odd for the year, but the normalized tax rate going forward should be what?
Steve Mihaylo: It’s been in the neighborhood of 40%, and I think 1% up or down is probably where it’s going to be going forward, Jon Erickson is giving me the 2% sign.
Jon Erickson: I would say, probably expect somewhere right now probably in the 41% to 43% range.
Neal Goldman - Goldman Capital Management: Then with the $400,000 some what odd, it probably takes it down to like 40-ish type of thing, anyhow.
Steve Mihaylo: It appears there’s no more questions. I want to thank everyone for participating in our fiscal fourth quarter 2009 conference call. We look forward to speaking with you sometime towards the middle of November for our September conference call. We’ll have that data out here shortly in the next few weeks. Thank you very much and look forward to talking to you next quarter.
Operator: This concludes today’s conference call. You may now disconnect.